Operator: Thank you for joining us for Navios Maritime Partners' first-quarter 2017 earnings conference call. With us today from the Company are Chairman and CEO, Angeliki Frangou; Chief Financial Officer, Stratos Desypris; and Executive Vice President of Business Development, George Achniotis. [Operator Instructions]. Now I will review the Safe Harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners' management and are subject to numerous material risks and uncertainties which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners' filings with the Securities and Exchange Commission, including the Company's most recent 20-F. The information discussed in this conference call should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. The agenda for today's call is as follows. First, Angeliki Frangou will offer opening remarks; next Stratos Desypris will give an overview of Navios Partners' financial results; then George Achniotis will provide an operational update and an industry overview; and lastly we will open the call to take questions. Now I turn the call over to Navios Partners' Chairman and CEO, Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, Laura, and good morning to all of you joining us on today's call. For the first quarter of 2017 Navios Partners reported revenue of $42.4 million and adjusted EBITDA of $25.9 million. The adjusted EBITDA reflects the write-off of, among other things, $3.2 million of costs related to the refinancing of term loan B. We are coming off the worst year in history for the drybulk market with a BDI reaching a historical low in the first quarter of 2016. In addition, in 2016 the container sector suffered its own set of strategic challenges with the opening of the enlarged Panama Canal, restructuring of NMM, enterprise bankruptcy liquidation will continue. We have only recently begun to see a return to normalcy through industry [consolidation] and scrapping. With this backdrop the sustainability of many maritime companies has been tested. Through Navios' balanced initiatives and disciplined cost management, we have weathered the storm. And through our unique ability to strike innovative deals we are positioned to thrive in a recovering market. As you can see from Slide 3, Navios Holdings is the sponsor of Navios Partners and owns a 20.9% of Navios Partners. Today NMM owns 35 vessels fleet consisting of 28 drybulk vessels and seven container vessels. Slide 4 details a dynamic growth platform. During the quarter we have [indiscernible] in a number of balance sheet initiatives. We refinanced our term loan B as well as our bank facility. We extended the runway materially with not that much [indiscernible] for over three years until the third quarter of 2020. We also boosted the liquidity by raising $100 million in equity through a second day market offering. During the quarter we acquired five drybulk vessels for about $114 million. The vessels have an average age of 7.3 years and they are expected to provide 11% levered returns at current market rates. As the drybulk market improves to long-term average the vessels will provide significant free cash flow and capital appreciation. Recently we also formed Navios Maritime Containers Inc., a growth vehicle created to focus on opportunity within the container sector. Navios Containers raised 75 million of gross profit through a private placement offering that will be initially listed on the Oslo OTC market. Navios Containers intends to use the proceeds to acquire 14 container vessels that Navios Partners had previously agreed to purchase from Rickmers Maritime Trust. Navios Partners will be reimbursed for all costs it includes plus $5 million. Through this new vehicle we will seek to capitalize on the opportunity within the distressed container sector. The container sector may have a coverage cycle that is materially different than the expected recovery within the drybulk sector. Thus investors in Navios Partners will have direct exposure to the drybulk sector and indirect exposure to the container opportunity through a 40% stake in the Navios Containers plus a five-year warrant for an additional 6.8% of the equity. We wanted to put in perspective the recovering trend we have seen in the drybulk market and the best way to see that would be through the lens of the Baltic Drybulk Index as shown on Slide 5. While the BDI increased 230% since the low of Q1 of 2016, the index is still 140% below its 20 year average, signifying further room for recovery. We have created Slide 6 to show you the attractive returns that can be generated from the five vessels we have recently acquired. As you can see from the table on the left, the fleet would provide about 11% levered returns employing current charter rates, which we think is a reasonable return for a recovering market. Of course we think over time the rate will improve and, as you can see, the levered returns can exceed 40% once rates reach 20-year averages. Free cash flows assumes the occurrence of a 50% debt financing for the fleet with a four year term, 10 year amortization profile and interest at LIBOR plus 275 basis points. While the vessels were acquired at attractive values, we expect that we'll experience a significant 57 million, or 50% in capital appreciation from current values if asset values reach 20 year average. As you can see, these values will provide us with a significant upside as charter rates and vessel values increase to the 20 year averages. We prepared Slide 7 to demonstrate the significant upside potential for our fleet in a recovering market. Here we have presented a free cash generation calculator for our fleet, by reference to the fixed days plus stated market rate for open days where the current market rate 10 year average or 20 year averages. For 2017 if rates remain steady our fleet is expected to generate about 67 million in free cash. But in the event the rates reach 20 year averages our fleet could generate 115 million in free cash. Applying the same analysis for 2018, free cash flow is expected to be 75 million using current rate and about 170 million using twenty year average rate for the respective vessel classes. Slide 8, shows our liquidity. As of March 31, 2017 we had total cash of 117.9 million and total debt of 424.5 million. We have low net debt to book capitalization of 27.6%, no significant debt maturities until 2020 and additional firepower for further growth. At this point I'd like to turn the call to Mr. Stratos Desypris, Navios Partners' CFO, who will take you over the results of the first quarter of 2017. Stratos?
Stratos Desypris: Thank you, Angeliki, and good morning all. I will briefly review our unaudited financial results for the first quarter ended March 31, 2017. The financial information is included in the press release and is summarized in the slide presentation on the Company's website. Moving to the financial results as shown on Slide 9, our revenue for Q1 of 2017 amounted to 42.4 million compared to 45.6 million for Q1 of 2016. The main reason for the decrease was the sale of the MSC Cristina in January 2017. EBITDA net income for the first quarter of 2017 was negatively affected by a number of one-off items. EBITDA was affected by the 1.3 million loss on disposal of one vessel, 1.5 million allowance for doubtful receivable, and 0.5 million non-cash compensation expense. Net income was also negatively affected by the 3.2 million write-off of deferred fees and discount from the refinancing of the term loan B. Excluding these items, adjusted EBITDA for the first quarter of 2017 amounted to 25.9 million, 7.8% lower than the same quarter last year, primarily due to the decrease in revenues. Net income, excluding the above items, amounted to 0.7 million. Operating surplus for the first quarter of 2017 was 17.6 million. Replacement and maintenance CapEx was 3.3 million. Fleet utilization for the first quarter of 2017 was almost 100%. Turning to Slide 10, you can see some key balance sheet data as of March 31, 2017. As Angeliki mentioned earlier, in Q1 we refinanced the term loan B and we also raised about 100 million in equity. Cash and cash equivalents amounted to 117.9 million. At the end of the quarter long-term debt, including the current portion of 424.5 million, was almost 100 million lower than December 31, 2016. And net debt to book capitalization was 27.6%. Slide 11, shows the details of our fleet. We have a large modern diverse fleet with a total capacity of 3.9 million deadweight tons with an average age of 9.7 years. Our fleet consists of 35 vessels, 12 Capesizes, 14 Panamaxes, two Ultra Handymax vessels and seven container vessels. In Slide 12, you can see the list of our fleet with the contracted rates and the respective expiration dates per vessel. Our charters have an average remaining contract duration of 2.6 years. 86% of our contracted revenue is from charters longer than three years. Currently we have approximately 80% of our available days for 2017 and we are approximately 35% fixed for 2018. The expiration days are staggered and the charter durations extend to 2028. As on Slide 13, we are an efficient low-cost operator. We are benefiting from the economies of scale of our sponsor and we have fixed our operational cost at low levels until December 2017. There is no additional charge or commissions for technical and commercial management, nor any fees for S&P and financing transactions. Our total costs are approximately 10% below the average cost of our listed peer group. This translates in estimated savings of approximately $7 million only in 2016. I now pass the call to George Achniotis, our Executive Vice President of Business Development, to discuss the industry section.
George Achniotis: Thank you, Stratos. Please turn to slide 15 for a review of the dry bulk market fundamentals. For the first time in four years the IMF has raised its GDP forecast for the current year based on improving fundamentals worldwide. Growth in 2017 is expected to be 3.5% and it will increase to 3.6% in 2018 accelerating from the 3.1% growth in 2016. Advanced economies are focused to increase from 1.7% in 2016 to 2% in 2017 in 2018. Emerging market growth is forecast to increase from 4.1% in 2016 to 4.5% in 2017 and 4.8% in 2018. Dry bulk trade growth is expected to more than double from 1.3% in 2016 to 2.8% in 2017. Since the all time low of 290 BDI in February 2016 the dry bulk market has increased with the BDI reaching as high as 1,257 in November. In 2017 we experienced a normal seasonal downturn in the beginning of Q1 which was followed by the seasonal recovery into Q2. Turn to slide 16. Imports of iron ore into China in 2016 exceeded 1 billion tons for the first time. Chinese domestic iron ore production rebounded in Q1 as iron ore prices spiked into the $90 per ton range. Despite all this, year to date we see Chinese iron ore imports up an impressive 12%. Forecasters have increased their estimates and are now showing an expected increase in Chinese imports of 7.3% in 2017 or 73 million tons. Brazilian exports are forecast to grow by 23 million tons in 2017, about three times the increase in 2016, further helping ton miles. Steel production in China continues to remain firm, up 5% year to date. High Chinese domestic demand has been stimulated by large infrastructure projects and recovery in the Chinese housing market. Chinese steel exports have decreased to manage the growth in domestic demand, so steel production in the rest of the world has to increase to cater for the shortfall, further aiding seaborne iron ore shipments. Please turn to slide 17. 2016 saw the Chinese coal market start to restructure. Domestic coal production reduced by about 9% or approximately 300 million tons and imports of coal surged by 21% or about 40 million tons. The trend continues into 2017 where coal imports are up 26% from March. The Chinese government continues to rationalize domestic coal production, closing down small inefficient mines and encouraging consolidation of large mining groups. Coal delivered electricity production in China grew by 5.1% in 2016 and has grown by 7.6% through April this year as economic activity picked up and hydro reduced by 4.2%. It is expected that the restructuring of the Chinese coal industry will continue to encourage imports as inefficient polluting mines are closed. Turning to slide 18, agricultural production worldwide continues to increase. 2016 saw an increase in the world trade of 17 million tons or 476 million tons. In 2017 forecasts are for a further increase of 4.8%. Worldwide grain trade has grown by 5.8% CAGR since 2009. Demand increases are focused on Asian economies and especially in China where incomes are rising and diets are improving. These Asian demand areas tend to be further afield from the major agricultural products exporters helping ton miles which have grown 6.2% CAGR since 2009. Moving to Slide 19, 2016 ended with 47.2 million tons of new vessels delivered versus an expected delivery of 92.7 million tons giving a 49% non-delivery rate. This is the highest non-delivery rate in the last few years. Up to the end of April 20.4 million tons delivered versus an expected delivery of 34.6 million tons maintaining a high pace of non-deliveries at 41%. As of January 1, the 2017 order book stood at 58.1 million tons. Using a 40% non-delivery rate for the year it is estimated about 35 million tons will actually be delivered. With about 7 million tons scrapped so far in 2017, net fleet growth will continue to be low. With no incentive toward new buildings over the last couple of years the order book continues to be very low improving drybulk fundamentals going forward. Turning to Slide 20, 2016 ended with 30.1 million tons scrapped. Combined with actual deliveries of 47.2 million tons the dry bulk fleet grew by 2.2%, the lowest net fleet growth for many years. Through April 2017, 6.9 million tons [are] scrapped. Maintaining the current scrapping pace in non-deliveries will produce another low net fleet growth this year. The pool of potential scrap candidates is still high with bulkers 20 years or over representing about 7.6% of the total fleet. With new regulations regarding ballast water treatment systems and sulfur emissions restrictions coming into force, [indiscernible] will continue to scrap. We would also like to note the ongoing investigation on the converted VLOC vessels. There are currently 50 of these vessels over 20 years of age still trading. As a result of the tragic Stellar Daisy loss in March and the subsequent discovery of structural cracks in other VLOC conversions, accelerated scrapping or curtailment of the use of these ships may be inevitable. Moving to Slide 21 and the container market, over the past 20 years container trade has expanded at 7% CAGR. In 2016 container growth increased by 3.4% and is expected to grow by 4.3% in 2017 and a further 4.6% in 2018. Maersk Lines, the largest container liner operator, recently stated that market fundamentals continue to improve in 2017 and that container volume demand grew above expectations. I want to remind you that NMM's container vessels are fixed on long-term charters so they were not affected by the sluggishness in 2016. Turning to Slide 22, at the beginning of January 2016 the container fleet consisted of about 5,100 vessels of about 20 million TEU capacity. Vessels carrying 900,000 TEU have delivered in 2016 versus vessels carrying 1.34 million TEU projected, giving a non-delivery rate of 33% versus a non-delivery rate of just 11% in 2015. Up to April 2017 340,000 TEU have delivered this year versus an expected 760,000 TEU giving a non-delivery rate of 56% year to date. Moving to slide 23, with an expected period low charter rates, container scrapping increased dramatically, 194 vessels of 650,000 TEU, or about 3.3% of the total container fleet scrapped in 2016. Net fleet growth was 1.3%, the smallest in the last several years. Using an annualized 700,000 TEU scrapping pace for 2017 and a 30% non-delivery level, net fleet growth should be about 2.5%. Compared to a demand growth forecast of about 4.3% and little incentive toward the new-buildings in the current environment the balance between demand and supply continues to improve. This concludes my presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, George. This completes our formal presentation. We'll open the call to questions.
Operator: Thank you. [Operator Instruction] Our first question comes from a line of Chris Wetherbee of Citigroup.
Chris Wetherbee: Thanks and good afternoon, everybody. I wanted to ask a question first about the positioning of the business heading into 2018. So, you have been very busy in the last quarter or so with acquisitions. I just want to get a sense, how do you see the cycle turning? And 2018, certainly from a fundamental perspective, looks better to us. But I just want to get a sense of maybe from a timing standpoint how you would expect that rate improvement on the drybulk side to play out. Is it something that happens leading into 2015 -- leading into 2018 is it something a little bit later? Just a little sense of how you guys are thinking about it at least.
Angeliki Frangou: Actually you have to see where we are in the drybulk. We are clearly on a recovery mode. We are thinking 1,000 on the BDI. You should think that long-term averages like 20 year averages over 2,000. So you are in an early stage of recovery. With any volatility we have seen from the weak Q1 or from a point of view of nothing is a straight line, you see that there is a well supported level for the case and well supported think about 1,000 of the BDI. So we think that fundamentally you are sitting in a good position with demand being much stronger than people expected and there is all the revisions that you see upward. And another thing that I'd like to add here on the supply side, there is an event that can be quite significant on the drybulk. You had the VLOC accident. This is far more momentous of an event then people have started realizing. Don't forget it affects 50 converted VLCCs that are over 20 years of age. If these vessels are removed or go through insurance and regulatory issues which they can be removed abruptly, that can create in a good -- or at a good [trajectory] of recovery can create different pressure points and high volatility. You are talking about 14,000 -- over 14.5 million deadweight tons which can really affect the drybulk market.
Chris Wetherbee: Okay, that's very helpful. I appreciate that color. When you think about the strategy from a chartering perspective as you look out into '18, so I think you have 33%, 34% of your days covered in 2018, when do you think -- and that gives you leverage to an improving recovery trend, when would you like to start chartering those out? When do you think it's opportune? How do you think about the timing of that?
Angeliki Frangou: Usually we try always to draw on the seasonal strong quarter. We are not shy of fixing mostly of our [indiscernible] right now as we index and profit sharing. I think what we are looking mostly is to go on the one year and two year rate. On the [indiscernible] the healthy 16,000, you have 15,000, 16,000 but you have not in the two year market starting. And this is something we are looking. What we have started doing is doing 18 months with index and profit sharing which has been a floor on profit sharing of the index. But we like to move, I don't think that will happen before end of 2017, but as we will be moving forward we like to go longer on the care; so to do the two or three year charters.
Chris Wetherbee: Okay, so there is no sense that you might want to stay short in a recovering market to try to play that upside. You still would take the risk management approach of getting longer charters to the extent that they are available?
Angeliki Frangou: Yes. But you are always seeing that we are very mindful about having a profit sharing, so that has worked excellent for us. If you see an actual recovery it is target on the case to the high teens, which is quite significant. So yes, we are mindful of the downside which is always the kind of strategy we have. We have 9,000 floor plus 50% of the 5 TC. That protection is downside and you take a disproportional amount of the upside that would be $18,000. This is the kind of transactions that Navios always loves to do. And we will be mindful to cover our downside, but as we are affirming later in the year we will be looking for longer deals, yes. You can never take the absolute top.
Chris Wetherbee: Sure. That certainly makes sense. My last question would be just as you guys think about the container piece of your fleet and then the new acquisition in the spinoff of Navios Containers, how do you think about the vessels that are at NMM, the containerships at NMM relative to the new entity, those vessels that NMM are providing significant contract revenue and profitability and duration? I just want to get a sense of maybe how you think about intermingling those assets, if there is any thought about that, or are you just going to keep them separate and have containerships in two of your entities?
Angeliki Frangou: Let's go with why we did, this is a good question and it has to start from the first level, why we did the new Company we show a unique opportunity. This is about acting quickly on complicated transactions where you are able to buy a fleet of vessels at scrap value plus about 45 million of contract EBITDA. So on this kind of a transaction which is more levered you have a recovery on the container but in a different way than the dry bulk. You step in, you get this transaction and you put it in a different Company as you grow it because it has different management issues. When you grow that Company to a size where it comes to the New York Stock Exchange you may see that combination of fleet coming together. But this is now in an early stage. You have other transactions to do. And don't forget that these vessels are part of the collateral of the term loan B.
Chris Wetherbee: Sure. That's very helpful color. I appreciate the time. Thank you.
Operator: Our next question comes from the line of Noah Parquette of JPMorgan.
Noah Parquette: Thanks. Just to clarify and follow up on a question -- you guys have been focused on the one-off dry bulk ships, but of course there is the Rickmers acquisition. With the containership vehicle can we basically assume that NMM is going to be dry bulk focused in terms of its investments and the containers will be in the other vehicle?
Angeliki Frangou: Yes, this is right. Dry bulk will be on NMM, which has a different kind of recovery is already set in. And on -- and as you see the kind of opportunities we put in the new Company is attractive, but it's levered transactions, it's scrap transaction-related. So you get the vessels with a very low downside risk, but it still has -- we have seen in those vessels moving from OpEx to 9,000, 10,000 on revenues. But still is an early stage of -- much earlier stage of recovery.
Noah Parquette: Okay. And then as you pick off these ships, you guys are moving fast and probably just using equity. Have you given some thought, or I'm sure you have, as to how you plan on financing that and how the discussions are? Is there a certain level you can obtain debt financing for dry bulk vessels in this market?
Angeliki Frangou: For dry bulk, yes. There is -- I mean for companies that are well-positioned there is no problem of really financing the vessels. You could easily do a 6% finance, Navios would like to do less to delever through the cycle. And you can do about between 5- and 7-year loans with a 10-year amortization profile.
Noah Parquette: Okay great. That's really helpful. And then I just wanted to ask -- with the refinancing largely done you guys clearly seem excited about the investment opportunities in dry bulk. But how does the dividend play into this strategy? Is this something that's like -- it makes sense to postpone to take advantage of the opportunities now or is the dividend still a possibility in the near-term?
Angeliki Frangou: Listen, distribution is something that we are looking. In a sense it's something that I am really getting an early part of recovery. So you are about 1,000, you see long-term average around 2,000. So on this part you continue to acquire vessels and as the recovery continues you shift the focus from the acquisitions to distributions as you will also see longer cash flows. We are not shy of fixing vessels and we have seen that in the way we are, but this is -- it is a very early stage, you are about 1,000. So as you will move then in the recovery and you focus more from acquisitions to distributions you will move more to distributions.
Noah Parquette: Okay, that makes sense. You basically want to cover some of the dry bulk vessels at decent rates so you have some certainty there too on top of containers. Okay. And then just lastly really quick -- is Yang Ming okay in terms of its payments to you? I know there's -- you've been in the news about some financial difficulties. I was curious if that allowance for doubtful accounts was related to that or if you can give any color there.
Angeliki Frangou: We did not have any problem on the actual payments. And to be honest we monitor also the situation. We talked with a lot of the major players that -- then big liner companies. There is one difference that you can see from the Korean experience; this is not an implied guarantee for Yang Ming. It is about, [37%] ownership of Yang Ming is from the Finance Department of Taiwan. So it is not an implied guarantee. And the second thing that is important is that the liner container, the state of the liner container companies is much better. As you have seen with Maersk directing for much higher repayments for this year and I think all the majors are looking on the same direction. So you have a better market for the boxes and for the liners and you has not an implied guarantee but a direct ownership.
Noah Parquette: Okay. That makes sense. Thanks as always. That's all I have.
Operator: Our next question comes from the line of Michael Webber of Wells Fargo.
Michael Webber: Good morning, guys. Angeliki, I just wanted to follow up on containers for a second. And just in thinking about the development of Navios Container and maybe helping us prompt the strategy here, do you think the better comp for what you are trying to achieve with Navios Containers is TIL or is it something along the lines of [NNA] where you think longer-term about breaking out that asset class specifically into a viable going concern?
Angeliki Frangou: Listen, our strategy is we have attractive transactions via the distressed build we see in Germany and we see not one transaction but multiple transactions coming from that market. If you guarantee transaction you are talking 14 vessels average age 9.5 years old, you buy them at the scrap value is $90 billion and you have contracted cash flows to [indiscernible] of $45 million of EBITDA. So it's a very safe transaction [where you are] taking optionality on the container market. We are quick of acting and on this complicated transaction, are go in, you buy this and you may do two or three more transactions of that size. The Norwegian OTC gives you the ability to grow that quickly. And then when you are of a size that is big enough and of a size that is attractive you can shift into the US where it is more a different mature market.
Michael Webber: All right, that's helpful. If I just think I guess bigger picture and go back to September, it seems like September was a turning point for Navios. Specifically the refinancing of the term loan B. Since then you have been much more active and aggressive in terms of distressed acquisitions on the dry and the container side. But if I maybe look at that as an inflection point for the Navios group of companies as a whole after what was kind of a challenging previous year, are there any takeaways from how we should think about the next three or four years for Navios? Specifically I'm looking at the leverage levels at NMM being relatively low. Are there any differences in the way you think you will be running Navios or differences you think to maybe the constellation of companies? What does it look like two years from now versus say 2014 if I do look at that as an inflection point?
Angeliki Frangou: The one thing that we -- we have seen a very severe market 2016; I think the worst in recorded history. What we care about is that we were able to survive and we are able to thrive from now on. So what you are doing now in the next three, four years -- three to five years you delever, substantially delever. That is the number one target while at the same time create the cash flows of the new cycle because inevitably we are in a cyclical business. But I want to say one thing. You delever, you concentrate on cash flows, you concentrate on creating these cash flows, and of course you cannot look on loss making propositions, but if you think how we did it with our portfolio from all our companies, if we are concentrating protecting our downside and providing upside. On the drybulk we are going to be refinancing and delever. One part of this way of thinking is the transaction will be with the containers because it is a more levered transaction on the containers, we de-risk that by creating its own entity and growth pattern.
Michael Webber: Okay, that's helpful. Just a couple more for me actually on the container side, but you are kind of qualified distressed steel notwithstanding it does look like the container market isn't picking up pretty significantly since the beginning of January. A number of the Hanjin ships have been put to work a bit more quickly and had firmer rates I think than most in the market expected. So I'm curious when you are thinking about evaluating containership deals through the remainder of 2017, do you look at the strength we've seen in the last three quarters as seasonal and maybe with the implication that we could be back to prices and rates that we were at heading into Q1 again? Or do you look at it as kind of a more of a permanent kind of move off the bottom and maybe we have moved into the second or third inning of the container recovery?
Angeliki Frangou: Listen, there is clearly an uptick. You're going from OpEx level in a lot of the vessels to the 9,000 and 10,000 level say on the vessels we are looking to 4,000 TEUs. But the reality is that in any transaction you should always take a worst -- you may have hiccups on the recovery. So in our strategy when we look on a transaction we want to make sure that no matter what you have a runway of two years where you wait for the market to recover fully. I believe it will be earlier but we have to always be mindful of hiccups. Overall on the size of the container that we have ended we see negative fleet growth. We have seen a little bit longer with these vessels in the inter-Asia trade Europe to Africa. We have seen in that segment they have found a home. And we have seen that the big tsunami that happened on the container segment in 2016, they always -- the Panama Canal, the changes in the structure and the cascading, this has been dealt with. But you have to be mindful of the downside so we are always careful. You never know -- we see a recovery of the advanced economies, which is a net positive overall for the container sector, but you always have to be mindful. So our design of acquisition is always mindful to the downside.
Michael Webber: Okay, that's helpful. One more quick one and I will turn it over. And I think Noah mentioned Yang Ming. I'm just curious, have your thoughts just from an industry perspective, the two most recent data points in terms of liner restructurings and the large size have been HMM and Hanjin. HMM was much more orderly; Hanjin was obviously a bit of a nightmare. I am curious your thoughts I guess around the broader industry. Does Hanjin change the way owners maybe address or their reaction to lines coming to them looking to re-price contracts? Does that stick in the back of the minds of owners that there is a new worst-case scenario out there for those situations and does it make people more apt to restructure?
Angeliki Frangou: I think that you are right, Hanjin was a unique point. You have to say that this was the bleakest point also of the container sector. Because there was an expected restructuring and I can see that people actually even benefited out of the transaction. There has not been any devastation. Still it was a totally unexpected point. It was also the weak point on the container segment so there was a panic. And most probably also it had an effect that Korea was going through a political turmoil on the buying side. But it was really a turning point. On the Yang Ming, I think that after this crisis there will be a lot of consideration about long-term charters and how much value you put to the actual companies because there is a little bit of market acceptance of some companies that you have financing and a lot of our world, in a lot of the companies there was not financing. But overall I think now it is a clearly different market 2017. Here on Yang Ming you do not have an implied guarantee but an actual ownership of the government from the finance government. And secondly, the actual recovery of the container segment is quite more significant. Companies are actually giving you indications and guidance of much higher returns for the first time, very long time.
Operator: And ladies and gentlemen, we have reached the allotted time for questions. We do have time for one final question and it will come from the line of Amit Mehrotra, Deutsche Bank.
Amit Mehrotra: Hey, thanks a lot. Saving the best for last. Okay, great. Thanks for taking my question. So, first one is just a follow-up on the new containership entity. I think the timing may make a lot of sense in terms of having this new entity come to scale at some stronger inflexion in the containership market. But Angeliki, if I'm correct, the whole point of the containership assets within Partners was to provide some duration within the MLP structure. And now with seemingly those assets ultimately moving into NewCo, what does that imply for maybe the volatility of the cash flows as it relates to partners? And how does that fit into your thinking of the whole MLP framework?
Angeliki Frangou: Good morning, Amit. The existing assets on the structure of Navios Partners is part of the collateral of the term loan. So, this is with cash flows, they were bought with cash flows, a totally different transaction. What we are looking on the Navios Container is really assets that you buy in today's value near, as you know, scrap values where you take the upside of the container market with levered transactions where you will play on the scrap value and get the upside potential. So it is a little bit different than the ones you already have. In a later stage when Navios Containers becomes a more mature Company and finishes its growth pattern and you free up the collateral from the term loan, that can be a part of the Navios Container. By that time you have to realize that the concentration of Navios Partners is to move from the acquisition into eventually cash flows and distributions. So we will see the drybulk, which is in a recovery mode -- clear recovery mode. And we will see that that market we will create acquisitions, cash flows, eventual distributions.
Amit Mehrotra: Okay. Thanks for that answer. And one just follow-up question for me. There was a previous question about -- I think Noah's question about the distribution. And I think, Angeliki, the way you answered that makes a lot of sense in the sense that the net present value for an acquisition at this point in the cycle probably is much higher obviously than the NPV of a distribution -- dollar distribution. But at the same time the whole point of an MLP structure -- I mean you know this better than I do -- is to allow for pass-through income. And there's actually very few, maybe less than -- I think less than 10% of all the MLPs out there that actually do not pay any distribution. So the elimination of the distribution a year, call it a year and a half ago made a lot of sense given where the market was. I think it's a lot harder to justify today given where you guys are and where the market is. So how do you just think about that balance in terms of balancing the growth at the low point in the cycle, which makes a ton of sense, with the whole point of what an MLP is, which is to provide some level of pass-through income and distribution?
Angeliki Frangou: Amit, you have to give us credit [Multiple Speakers].
Amit Mehrotra: I'm giving you credit.
Angeliki Frangou: We just -- refinanced the term loan. We did the equity raising, we redeployed the cash. Give us the ability to bring the cash flows. I mean we will have to show you where you see cash flows that are fully secured for 2018, to see a full view of our cash flows. That will make sense. Then you are in a stage of distribution. -- we will -- everyone loves distribution, so it's a matter to be on the right moment. We moved from a point where you didn't have visibility to a point where we can see a very clear path to cash flows.
Amit Mehrotra: Right. So if I hear correctly, as you guys fix out 2018 through the end of this year and maybe be almost entirely fixed out 12 months forward, do you think early 2018 might be the right time where you feel comfortable reinstating a small distribution and then hopefully growing it from there? Is that kind of the right framework in terms of timing that we should think about?
Angeliki Frangou: You should that, but I really believe that a move from acquisition to cash flows, then that makes the next step is naturally distributions.
Amit Mehrotra: Okay, so it's confirmed then, early 2018. Thanks very much.
Angeliki Frangou: I didn't say that.
Amit Mehrotra: Thanks for answering my questions, everybody.
Operator: And that was our final question. I would now like to turn the floor back over to Angeliki Frangou for any additional or closing remarks.
Angeliki Frangou: Thank you. This completes our quarterly earnings.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may now disconnect.